Operator: Good afternoon, ladies and gentlemen. My name is Abby, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the Kimball International Fourth Quarter and Full Year Fiscal 2022 Earnings Conference Call. As with prior conference calls, today's call, August 4, 2022, will be recorded and may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from the forward-looking statements. Risk factors that may influence the outcome of forward-looking statements can be seen in the Kimball International Form 10-K. During today's call, the presenters will be making references to an earnings slide deck presentation that is available on the Investor Relations section of Kimball International's website. On today's call are Kristie Juster, Chief Executive Officer of Kimball International; and T.J. Wolfe, Executive Vice President and Chief Financial Officer. I would now like to turn today's call over to Kristie Juster. Ms. Juster, you may begin.
Kristie Juster: Good afternoon, everyone, and thank you for joining today's call. We are pleased to report Kimball International's strong finish to fiscal year 2022, our accomplishments in Q4 and our outlook for continued growth in fiscal year 2023. Our fourth quarter results reflected both strong revenue growth and a substantial improvement in profitability. Over the last several quarters, we've continued to exhibit that our set of focused strategic choices provides accelerated market growth for Kimball International. The combination of our expertise in ancillary products and secondary markets clearly align with the evolving business trends and workplace priorities. Sales of ancillary products represented 87% of our full year sales and demonstrate the demand for products that fit perfectly in today's open, accommodating and flexible work environment. In addition, over 75% of our shipments in fiscal 2022 were to secondary markets like Nashville, Atlanta, Austin and Miami, which are experiencing substantial population growth and a more rapid pace of return to office. Kimball International's product portfolio is incredibly well aligned with our customer needs, whether attracting workers back to offices, providing a residential feel in a health care environment or offering a beautiful custom design for high-end hotel properties. We have the right products targeting the fastest-growing end markets and geographies. Our results demonstrate the strength of this focused approach. Sales to our Workplace and Health end markets increased 33% year-on-year in the fourth quarter, accounting for 88% of our total sales for the period and a strong indication of our company's share gain in today's dynamic marketplace. Poppin sales were a key contributor to our fourth quarter performance, increasing 68% year-over-year and up 23% sequentially. We achieved this strong growth market-wide with the exception of Hospitality, which we expect to recover in 2023. This was also our second consecutive quarter of substantial year-over-year profitability gains. Pricing initiatives, which partially mitigated inflationary pressures, effective navigation of supply chain disruptions and ongoing cost savings, all translated into a significant increase in adjusted EBITDA. Taking a closer look at our key end markets. Workplace sales increased to 38% in the fourth quarter, with double-digit growth achieved across all verticals, led by commercial and education. At the same time, Workplace orders were up 18% year-over-year, reflecting the positive business momentum that has continued into fiscal 2023. The pace of return to office continues to build with leading indicators, reflecting higher growth and adoption in secondary markets, with a more moderated adoption in larger metropolitan markets, especially during the summer months. We see this trend consistently across our network of new and existing showrooms for both Kimball International and Poppin, with Austin, Miami, Dallas and Atlanta all leading the way. Additionally, the implementation of our harmonized selling model into a multi-branded selling organization is proving to be a highly productive move. In Q4, dealers that adopted this new multi-branded approach increased new brand volume by more than 50% since last quarter and were a key driver in our market share gain. NeoCon in June was a welcome industry gathering with attendance back to 70% of pre-pandemic levels and was energizing for our dealers, our designers and our teams. Open and flexible floor plans that accommodate the need for both individual privacy and group productivity were an overarching trend at NeoCon and certainly resonated in all of our conversations. The Kimball International showroom exhibited nine new product introductions and enhancements for all five of our Workplace and Health brands, including our new Jovalie Lounge, Karid Executive Seating, and Paradolia Privacy and Collaboration screens as well as enhancements through PoppinPods. Overall, innovative new products such as these accounted for 23% of Workplace sales in fiscal 2022. As shared, Poppin was a strong contributor to the fourth quarter. Poppin's sales growth reflected the important value-added role this brand and business plays at Kimball International. Alongside the ramp of Poppin's core digital direct business model, we have made significant progress in our new business drivers. Secondary markets with newly opened showrooms in Atlanta, Austin and Miami quickly gained traction and are fully activated. In all three markets, commercial real estate firms are supplementing Poppin's digital business development model by connecting us with actionable leads early in the process. Our new pod category tripled in revenue year-over-year, and our PoppinPro dealer channel accounted for 15% of Poppin sales in the second half of fiscal 2022. Poppin is addressing the demand for quick turnaround of office furnishings and refreshing existing offices to accommodate the new hybrid work environment. From a turnkey 60-seat satellite office in 30 days to 1,200 workstations delivered directly to employees' homes, Poppin's in-stock, ready-to-ship business model and its affordable, flexible product portfolio allows us to respond quickly to the ever-evolving workspace needs of our customers. We will continue to invest in Poppin's growth and are excited to further unleash its full contribution as it provides an important long-term growth engine in our overall company. Moving to our Health market. Sales were up 14% year-over-year in the fourth quarter despite industry challenges caused by the prevalence of COVID variant. We continue to believe in the significant potential in Health and remain clearly focused on areas of growth, such as outpatient facilities, telehealth, behavior health and caregiver well-being. The health care market is emerging to pre-pandemic levels and growing faster in secondary markets. But it is experiencing short-term lag due to the direct impact of COVID spikes and labor shortages, especially in larger metropolitan markets. One of our key areas of focus is leveraging our expertise to service the Veterans Administration, and we have grown the federal government health end market almost 10% of sales in fiscal year 2022. Additionally, our Interwoven Quickship for Care product line is available to ship in five to 10 days and enables clients to scale swiftly and efficiently in times of transition and expansion. The Interwoven product offering allows us to become a trusted partner in the health care industry, and we anticipate it will translate into meaningful contributions to our Health sales over the long-term. In the Hospitality market, leisure and day-to-day business travel have shown steady progress. But international large group business and convention travels are still well below pre-pandemic level, while our large Hospitality clients continue to navigate headwinds caused by labor shortages, wage pressures and supply chain issues. As one of the largest providers of casegoods, lounge seating and ancillary products to the hospitality industry, we will clearly benefit from a turnaround in the business, which we expect to begin in the second half of fiscal 2023. In the meantime, our focus is supporting and engaging with our key partners, growing our custom product mix and driving for efficiency and exceptional service. To sum up, we were very pleased with our fourth quarter performance, which demonstrated the continued strength of our product portfolio and its relevance to emerging market trends in today's marketplaces. While there are still challenges ahead, we are optimistic that our focused set of strategic choices will lead to significant revenue and profitability gains as we progress through fiscal 2023. Now I'll turn the call over to our CFO, T.J. Wolfe, for a review of our fourth quarter, full year financials and a discussion of our outlook for fiscal 2023. T.J.?
T.J. Wolfe: Thanks, Kristie, and good afternoon, everyone. I'm excited to share more details about our strong financial performance and our guidance for fiscal 2023. During the quarter, net sales increased 21% to $176.9 million, led by strong demand in the Workplace and Health end markets, which was driven by both our pricing actions over the past 12 months as well as higher unit volumes. Sales in Workplace increased 38%, with all verticals achieving double-digit year-over-year sales growth. Leading the growth within Workplace, Poppin sales increased 68%, contributing $21.2 million to the top line. Health revenue increased 14% as customers continue to work through the pandemic challenges across the health care system. As expected, demand in the Hospitality end market remains soft, with revenue decreasing 27% compared to the year ago quarter. Gross margin rebounded to 34.3%, representing a 370 basis point year-over-year improvement. Gross profit benefited from our pricing actions to offset inflationary costs and supply chain pressures as well as higher utilization from improved sales volume. This quarter's gross profit also benefited from a favorable mix due to lower volumes in Hospitality and a lower-than-anticipated LIFO expense. Going forward, we expect the LIFO expense to return to a more normalized level as observed in previous quarters this fiscal year. Selling and administrative expenses were $51.4 million or 29% of net sales, down 470 basis points year-over-year. Excluding amortization from the Poppin acquisition totaling $1.6 million as well as SERP adjustments, adjusted S&A was $51.4 million or 29.1% of net sales compared to $46.5 million or 31.8% a year ago. Our transformational savings in the fourth quarter amounted to $2.5 million, bringing our full year cost savings to $13.6 million, ahead of our projections. Throughout the year, we reinvested these funds to support our future growth. For example, we opened three new Poppin showrooms in Atlanta, Austin and Miami as well as a regional collaboration hub in Atlanta. We substantially completed construction of our new warehouse in Jasper and invested in new product development, such as the nine introductions we showcased at NeoCon. We also further built out our customer service capabilities, increased our marketing and promotional spend and expanded our sales force. Fourth quarter 2022 GAAP net income was $4.4 million or $0.12 per diluted share, inclusive of $4.7 million or $0.12 per share in restructuring charges. This compares to GAAP net income of $7.4 million or $0.20 per diluted share in the year ago quarter. Excluding the restructuring charges, adjusted net income was $9 million or $0.24 per diluted share, up from an adjusted net loss of $0.9 million or $0.02 per diluted share in the fourth quarter of fiscal 2021. Adjusted EBITDA was $13.6 million compared to $2.9 million in the fiscal 2021 fourth quarter. Adjusted EBITDA margin was 7.7%, a significant improvement from 2% in the year ago quarter. Adjusted EBITDA and margin continued to benefit from improved operating leverage on higher sales volume even as we invest in strategic initiatives to bolster long-term growth. Moving to our order trends. We experienced another quarter of double-digit growth in order activity, led by an 18% improvement in Workplace, with particular strength in the commercial, finance and education verticals. But as Kristie already alluded to, our order rates do reflect the delayed return to office in large metropolitan markets. Health orders declined 5% year-over-year, reflecting a pause in current demand, which we anticipate to be short term and to start improving in the new fiscal year. Orders in the Hospitality end market declined 2% as business travel activity remained below pre-pandemic levels. Our total backlog at quarter end was $175.6 million compared to $141.4 million in the fourth quarter of fiscal 2021. On the balance sheet and cash flow side, we ended the 2022 fiscal year with total available liquidity of $66 million, representing $11 million in cash and $55 million from the unused portion of our credit facility. At fiscal year-end, our net debt-to-EBITDA ratio of 1.8x was well below our covenant levels. In fiscal 2022, we used $4.6 million of cash flow from operating activities due to working capital needs, particularly inventory, as sales expanded. This compares to cash provided by operations of $27.3 million a year ago. Full year capital expenditures were $19.7 million, net of proceeds from the sale of our warehouse and in line with our expectations. The majority of our CapEx was invested in the aforementioned new warehouse in Jasper, new showrooms, manufacturing equipment automation to drive our operational excellence programs and new technology. In fiscal 2022, we returned $16.3 million of capital to shareowners in the form of dividends and share repurchases. Now looking at our 2023 guidance. We expect 2023 revenue to range from $750 million to $780 million, representing approximately 15% growth at the midpoint. And we forecast 2023 adjusted EBITDA to range from $48 million to $52 million, representing approximately 47% year-over-year growth at the midpoint. This guidance takes into account our current order trends through July, additional price realization from actions already taken and a reduction in backlog during the second half of fiscal 2023, driven by improved operational performance. With respect to the cadence of the year, we expect full year revenue and adjusted EBITDA to be somewhat weighted towards the second half of the year with the fourth quarter being the strongest. Additionally, we anticipate fiscal first quarter revenue will be similar to that of the fourth quarter in fiscal 2022, with adjusted EBITDA slightly lower than the fourth quarter due to higher labor and logistics costs and higher LIFO expense. We are planning for capital expenditures of approximately $25 million and expect our full year effective tax rate to be in the range of 25% to 27%. While our business activity remains strong and secular trends are in our favor, we recognize the current macroeconomic uncertainty. During fiscal year 2022, we have demonstrated our ability to adapt our operations with the ever-changing external conditions and market environment. And in fiscal year 2023, we will continue to deliver consistent improvements in both operational performance and financial results as we remain focused on execution and success in the marketplace. I will now turn the call back to Kristie for her closing remarks.
Kristie Juster: Thank you, T.J. We are very pleased to have reported a step change in our profitability in the second half of fiscal 2022. This demonstrated our ability to achieve substantial operating leverage and effectively manage through industry-wide headwinds. We are looking forward to continuing the positive momentum in our business into fiscal 2023. As our guidance reflects, we expect another year of robust growth. Our confidence is supported by the relevance of our product portfolio to the Workplace and Health end markets that account for almost 90% of our revenues, our ability to gain share with our emphasis on ancillary products and fast-growing secondary markets and the many opportunities we see on the horizon to scale and leverage profit. Most importantly, the biggest boost to our confidence are the people of Kimball International. We are dedicated to delivering well-designed, high-quality products and to bring the customer at the center of everything we do. Kimball International strives every day to be a sustainable and socially responsible company. We encourage all of our stakeholders to visit our website to learn more about our recognitions for environmental responsibility; the commitments we have made to diversity, equity, inclusion and belonging; and our strong corporate citizenship. We want to thank you for dialing in to today's call. And now I would like to open the call to questions. Operator?
Operator:  Your first question comes from the line of Greg Burns from Sidoti. Your line is open.
Greg Burns: Good afternoon. In terms of the order trends on the â in the Workplace segment, have you seen any change or slowdown more recently given the deteriorating macro environment?
T.J. Wolfe: Hey Greg, through July, if we look through the current data we have, we didn't see any noticeable change from where we finished Q4 through July. I think the point that I would highlight, as Kristie mentioned in her comments and I did, that I think the one change over the quarter we did see is in the large metropolitan markets. That is where we did see some, I would say, just kind of flat lining up the trend. We saw a continued return to office in secondary markets, and that was reflected in our order rates. But I would say the large metropolitan markets were where we see it kind of â it really just flat lined and stayed at the current levels.
Greg Burns: Okay. Are you seeing any difference between not just geographies but by customer size, like the SMB shorter cycle kind of end of the market? Any slowdown there versus maybe the larger more contract side of the business?
T.J. Wolfe: Yes. I think what we have seen is, as you know, when you think about large projects that have a large horizon, many of those still in flight are continuing. I think what we have noticed is, if you look at a particular sector such as tech or certain kind of areas of venture capital, those â some of those smaller projects and outfittings of office have slowed somewhat as people look at their investments and look to conserve cash. So that's some place where we have noticed the â a slowdown in the recent months.
Greg Burns: Okay. The gross margins this quarter were very strong. You mentioned more favorable LIFO. How much of â how much was the lower LIFO adjustment benefiting this quarter? And kind of how should we think about the gross margins that are baked into your guidance?
T.J. Wolfe: Yes. Sure, Greg. So I think let's look at this quarter just passed for a moment. I think at a high level, we would say this quarter was the first quarter where we had achieved price that largely offset inflation. So if you think about those two things relatively matched up in the quarter. And so what led to the expansion â I'll put these in order of priority for you. Our operational excellence programs and operating leverage, those two delivered a similar contribution. And that was, I would say, the bulk of that gain. To a lesser degree, next in line would be mix. And so this would be the business unit mix between Hospitality and Workplace and Health. So Hospitality quarter-over-quarter was down as a percent of mix. And then coming in fourth there would be LIFO. And on a year-over-year basis, LIFO contributed 60 basis points to gross margin expansion. And so that is one that we would see would revert back â we expect to revert back to more historical levels and be a headwind in at least the coming quarter in Q1 of fiscal year 2023.
Greg Burns: Okay, great. Thanks. Okay, Iâll hop back in the queue. But if there is no one else, Iâll keep on going.
T.J. Wolfe: I think there is a few extra people on the queue, Greg.
Greg Burns: Great, thanks.
T.J. Wolfe: Thanks Greg.
Operator: Your next question comes from the line of Reuben Gardner from The Benchmark Company. Your line is open.
Reuben Gardner: Thank you. Good evening, everybody. Maybe â let's see. So I appreciate the guidance for this coming fiscal year. I wanted to kind of walk through what your assumptions are there. If you could kind of start with the top line, what kind of end market expectations you have to get that level of revenue growth? And then if you could break out how much of that is pricing versus volume, I guess, at the midpoint of your outlook.
T.J. Wolfe: Sure, Reuben. So I think if we look at our end markets first, what we would expect to occur next year and somewhat similar to this year is that Poppin, in percentage terms, would be the fastest-growing part of the business. And I think when you look at Hospitality, we said that is going to be a delayed recovery. And so we really expect that to begin at the end of the fiscal year, and that Workplace and Health would be kind of seeing growth at similar levels. And so when you look at kind of the composition of that between unit growth and price growth, as a result of our pricing actions, we would say that it's a mixed plan but skews slightly towards pricing for the coming year. And those would be actions that we've already announced and taken in the marketplace. So it doesn't contemplate any new actions, although we'd monitor that and take them as needed given the inflationary environment.
Reuben Gardner: So I mean, just not to oversimplify it, but is this â I mean, would a low to mid-single-digit kind of workplace or office industry, with some share gains and some price, gets you to where you are? Or do you need the industry to do better than that to get to those kind of forecast, if that makes sense?
T.J. Wolfe: So when you say low to mid-single digit, are you talking about unit growth, Reuben, in Workplace?
Reuben Gardner: Yes. Yes, units.
T.J. Wolfe: Yes. I think if you're â if kind of the point you're getting at is do we need to see a step change in return to office or return to learning, I think the answer is no. What we need to see is a continuation of the trends we're seeing and that, that level of volume growth, combined with the price, would be what's implied in our plan. So it does not contemplate some significant step change or movement in return to office that hasn't happened yet.
Kristie Juster: Reuben, I would also add that one of the unique things about our business is that we really are â 75% of our volume is in secondary markets, and over 85% of it is in ancillary products. And we've seen that intersection of secondary markets and ancillary products being very consistent for us. And certainly, that's what we're predicting as we go in 2023.
Reuben Gardner: Perfect. And then on the margin front, similar line of questioning. What do you need to see to meet your guidance in terms of material costs and shipping and maybe even ocean freight? I know you don't have a ton coming from overseas, but what's kind of embedded in the outlook?
T.J. Wolfe: Sure, Reuben. So while I think that one of the key assumptions we would say is that we don't assume that there is any significant pullback in the inflationary environment. So we don't assume that everything normalizes and all those costs come off. I think what we assume is that we'll be able to maintain that kind of catch-up that we did with price/cost in Q4, and so we'll maintain that, and that we'll be able to see these improvements in operational excellence, leverage, and to some extent, mix over the course of the year. So no significant pullback in inflation. We assume inflation stays with us, but just that we're able to keep pace with it through our pricing actions.
Reuben Gardner: Okay. And I think the â bear with me here. I think that the midpoint points to EBITDA margin kind of in the 7% range, if I punched that in Excel right. So your revenue now is back to kind of pre-COVID levels, a good assumption. Just kind of thinking about maybe a little bit longer term, what's â I guess, what's the delta? I think you were in the low double digits at your peak in EBITDA margins. What do you need to see to get there? What kind of time horizon do you think or do you have, I guess, bigger aspirations over the next few years than just kind of returning to what the margins were pre-2020?
T.J. Wolfe: Yes. Sure, Reuben. So I think if we start with the first question â and your math is directionally correct. To get back from this implies something in the range of 7% EBITDA prior to the pandemic. Pre-COVID, we were in the low double digits, so say 11%. I think to get there, the two things that need to happen are, again, further gross margin expansion. So the full year gross margin this year needs to expand, let's say, two points. And then we also need to get the top line back to where our SG&A leverage is back to where it was prior to the pandemic. Now we said with the addition of Poppin, it was going to settle slightly higher than it was. And so I think what we're looking for there is just the continued growth of the business to get that leverage down. But right now, we're still at the phase of Poppin where we're investing in its accelerated growth, which are the showrooms and the innovation. So I think that will come over time, but those are the two things: you'd want to see expansion of the gross margin line and then just us gaining further leverage in the business as we grow.
Reuben Gardner: Okay. I'm going to sneak one more in on Poppin. So I guess, two-part question. How do you think about the investment in growth if there is a soft patch or a downturn here over the next year we continue to invest through it? And then secondarily, are these investments ongoing? Is it something that eventually you'll get to the other side and see more leverage and the benefits from those investments?
Kristie Juster: Yes. Reuben, let me take the first one and then, T.J., I'll have you take the second. When we think about the opportunities with Poppin ahead, we are investing. We've been really pleased with the three kind of incremental focus areas that we have for Poppin. So one is that we've opened the new showrooms in secondary markets. We're very pleased with how those showrooms are ramping, how the market is responding to our lead gen activity, the number of showroom visits. Then we have our PoppinPro, which we've told you is 15% of the Poppin business today. And then we have the brand-new category of pods, which is an exciting category for Poppin Direct, but for â also for the PoppinPro dealer channel. So all of those things give us a lot more diversification within the Poppin portfolio. So we're not only relying on the core showroom direct market, but now we have the opportunity with these new growth initiatives. And frankly, we do see more of those that we're starting to work on for 2023 and beyond.
T.J. Wolfe: And Reuben, as far as the investments, I think, and kind of the leverage of those. Just a reminder, our traditional business, which is really are made-to-order domestic product, that â when that business grows, we gain that leverage at the gross margin line. Poppin, that's a source model. And so that, we really gain our leverage at the S&A level when we begin to leverage these investments like the showroom and like our digital lead gen. So I think that's where you'll see that really begin to perform.
Kristie Juster: And just one more comment. Some of those initiatives like Poppin Pro or the Pod category those investments aren't just for the Poppin business. Those investments actually go across Kimball International and the opportunity to actually expand that brand in that portfolio into Kimball International traditional dealer network. So that's the sweet spot of what we're starting to see with the acquisition of that business.
Reuben Gardner: Great. Thank you, guys. Congrats on the progress and good luck.
T.J. Wolfe: Thanks, Reuben.
Kristie Juster: Thanks, Reuben.
Operator:  Your next question comes from the line of Budd Bugatch from Water Tower Research. Your line is open.
Budd Bugatch: Good afternoon, Kristie and T.J. Congratulations on your progress. Can you hear me okay?
T.J. Wolfe: We can, Budd. Thank you.
Kristie Juster: Thank you, Budd.
Budd Bugatch: Yes. A couple of questions on that â on the overall environment for Poppin, the PoppinPods. Talk a little bit about who the customer is on that and what you're seeing on that in terms of new customers and how that's getting distributed.
Kristie Juster: Sure. Well, one, we're â the pod category had just started with Poppin when we did the acquisition. Actually, they had just launched the category in January before the pandemic, and they were starting to see some really good traction. There's no doubt that, that pod category fits really well into kind of in-stock, ready-to-ship, setting up short-term leases and with speed in creating kind of private environments in very open spaces. So it's done very well in the direct Poppin channel. But certainly, that's been a very important part of Poppin Pro. And so we've seen that our dealer community is taking that product line and putting in layouts and open floor plans kind of in the more longer lead time projects that we see on the side of the more traditional Kimball International business. It's a great category. There's a lot of innovation that's going on in that category, and we're very pleased to be in that category. And that acquisition allowed us to do that very quickly.
Budd Bugatch: And pricing of that versus competition, you are significantly below or equivalent to? How does that â how do you find your seating in that market?
T.J. Wolfe: Yes. I think what we would say, Budd, is for the â when you look at pod category, there is quite a range as far as what the products can offer different enhancements. So I think what we are trying to do, we think we're competitively priced in the market. We're in where we want to be. And we think the amenities offered for that fit the price point. So again, there's a wide range of kind of from more entry level and basic to higher level. But I think when you look at how the pods are positioned within the total Poppin portfolio, it fits very nicely with the rest of the kind of pricing architecture within Poppin.
Budd Bugatch: Okay. And T.J., if I heard you correctly, you said that in fiscal 2023, you're looking to improve gross margins by about 200 basis points. That would make get it close to 30%, 34%. Is that right? Did I get that right?
T.J. Wolfe: No. We didn't give any guidance what â I would say when Reuben asked that question, he was thinking about the longer term, what do we need to aspire to, to get back to an 11% EBITDA margin. So what I've guided Reuben to answer his question was, over time, 34% was what we were historically as far as kind of gross margin for the business. And so to get back to about 11% EBITDA from what's implied in the 7% in our guidance, you need a couple of hundred basis points expense at the gross margin line and similar improvement in SG&A leverage. I think for this year, we didn't give any specific gross margin guidance. We would certainly expect expansion over where we finish fiscal year 2022 for the full year. But I think what we want to point out, as I indicated with the LIFO, is it won't necessarily be linear over the four quarters. So certainly, improvement for the full year, just thinking about the volatility still in the market and how we'll manage through that.
Kristie Juster: And Budd, I would just add that we're very pleased with the team's work around gross margin, and that is â we will continue that work. One of the areas that we are accelerating is kind of our reliability and making sure that we're moving through our backlog quickly, delivering against our customers' expectations. And so we've been pleased with the progress that we've made on gross margin. You'll see us starting to really focus on moving to our backlog, servicing, getting lead times back in line. And I think that's really exciting for us. I think we're very focused on the secondary markets and delivering with the products that we believe in, and that will be a piece that we talk to you about in the future.
Budd Bugatch: Now price gap â price/costs were in balance in the fourth quarter. Where are they for the year? What was cost minus price for the year? What would it cost you in either dollars or basis points or however you want to characterize it?
T.J. Wolfe: Yes, Budd. And interestingly, I know some of our industry kind of talks in those terms. We haven't really talked about the price cap â price/cost gap in dollar terms throughout the year. I think what we pointed people towards is, again, historically, gross margin was 34% roughly, pre-pandemic. Over the past three quarters, we saw the low 30s, in the 31% range. And so what I would tell you is, this quarter, as I mentioned, as you said, first time that we've matched those two up, which led to the benefit from the elements I mentioned before operating excellence, leverage and mix, and to some degree, LIFO.
Budd Bugatch: Well, cost has continued to accelerate in the fourth quarter. Certainly, energy costs have been unpleasant. So I would think you have pricing yet to get for fiscal 2023. Am I wrong in reading that?
T.J. Wolfe: No, Budd. I think that's a fair point. What I would say is we â what you have to think about is the cadence of our pricing actions and how, as you know, this take a delayed effect of the backlog. So we still have additional benefit to realize year-over-year in the first quarter of this fiscal year from pricing actions previously taken. So when you look at the comps, we will be realizing incremental price in the first half of this fiscal year from actions already taken. So yes, those will deliver more benefit.
Budd Bugatch: So in the first quarter, price minus costs could be positive for you, I would think. I would be surprised if they weren't based upon just kind of , unless costs continue to accelerate. No?
T.J. Wolfe: Yes. I think â yes, I think the last part of your question â last part of your comment, Budd, is the important one, just thinking about will cost continue to accelerate. So I think we hope to continue to make progress in gross margin and hold our gains that we had in Q4, but certainly, it depends on what the inflationary environment holds going forward.
Budd Bugatch: Okay. Just a few more for me. Going just to the balance sheet, if I could. Inventories are obviously notably up, and that's been â the fact that they were not up was a problem earlier in the year. Are they at where you want them to be? They look like they're maybe 4, 5x turn, somewhere in that range. Where do you want inventories to be? And what's the quality of the inventory?
T.J. Wolfe: Yes. No, that's right, Budd. So I think there's a few points on this. There's two things about it that obviously increasing as our business does, but two things specifically deliberately increase. Number one is safety stocks for raw materials. As Kristie mentioned, we want to improve our operational performance and liability. So safety stocks are above where they would, I guess, say, traditionally be to kind of balance things out. And then in Poppin, that's been a significant inventory build. As Kristie mentioned, we're new in the Pod category. So building up inventory for that category and just making sure, as you mentioned, we were out of stock earlier in the year, so making sure that inventory is there. So those are two things that we would say we are â we like about the inventory build. One element that I would say we want to work on is we are carrying larger-than-normal stocks of made-to-order finished goods. So these are made-to-order products that are â we are still holding in our warehouse because we're waiting for them to match up for a complete shipment. And so that is something we traditionally did not have any significant inventory balances in because we would really make it to ship it out the door. But because of the supply chain disruption, that's one area we'd like to see decrease over the coming quarters.
Budd Bugatch: I'm a bit confused by that saying. Where is â where will target inventories be at the end of either half year or full year next year? And I understand the backlog is somewhat extended for everybody in the industry for lots of reasons. So I'm â you're alone with that inventory.
T.J. Wolfe: So I think we would â yes, I think we would want to say we would want to improve the terms from where they sit today. We don't have a specific target, but I would say, although it's higher and some elements of that are deliberate, I would say we want to improve working capital efficiency from where we stand today across the balance sheet, not just in inventory.
Budd Bugatch: Okay. Because  inventory looks like about $17 million, $18 million as I would calculate it right now. So you've got high payables as well. And are they going to stay at that level? Or...
T.J. Wolfe: No, we haven't had â yes. No, I think the area we look to where â when you look at our accounts receivable, accounts payable, no significant change in any kind of terms on either side there. So I think the one place that we'd put the most work into would be inventory. And that's the place where you could release cash from the balance sheet and look to reinvest.
Budd Bugatch: And so this year, we had kind of negative free cash. By next year, what are we going to have in terms of mix?
T.J. Wolfe: Yes. So I think â and if you look at the free cash flow for the full year, the majority of that was invested in working capital. That was up, by far the biggest consumption. I think when you look at next year, we said that capital expenditures of $25 million. That's slightly up versus what the net of disposals number was this year. It was roughly $20 million. So I think slightly higher investment in CapEx next year, but then we would see cash relief from working capital, plus just the improved business performance. So again, we didn't provide free cash flow guidance, but certainly free cash flow-positive next year.
Budd Bugatch: From CFO, will or will not exceed $25 million, I guess.
T.J. Wolfe: Yes. No, fair. I'm trying to kind of stick with the guidance we've given and â I know. I know.
Budd Bugatch: It's okay. I'm trying to see if we have positive free cash next year.
T.J. Wolfe: Understood. Yes, yes.
Budd Bugatch: Okay. That's fair. That's fair enough. Where are we on the earn-outs? You only have about $3.2 million left on the liability. That's all company taken, right? There's nothing left or anything else?
T.J. Wolfe: That's correct, Budd.
Budd Bugatch: Okay. And â all right. So that's fine. Okay. Great. Well, thank you very much and thank you for taking my question. Congratulations on the progress, and we look forward to monitoring the continuing progress. Thank you.
Kristie Juster: Thank you, Budd.
Operator: There are no further questions at this time. Ms. Kristie Juster, I turn the call back over to you.
Kristie Juster: Right. Well, good evening, everyone, and thank you so much for joining our call this evening, and we really look forward to keeping you up to date in our progress in fiscal 2023. Thank you.
Operator: This concludes today's conference call. You may now disconnect.